Operator: Greetings. Welcome to the Ideanomics Q1 2019 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I’ll now turn the conference over to your host Tony Sklar, Vice President of Communications and Head of Investor Relations. Mr. Sklar, you may begin.
Tony Sklar: Thank you very much operator. And welcome to the Ideanomics first quarter 2019 earnings conference call. Joining me today, I am pleased to have Dr. Bruno Wu, our Chairman of Ideanomics; Mr. Alf Poor, our Chief Executive Officer; and Mr. Drew Colvin, our VP of Corporate Development, who will read our financial and operating results. A webcast of today’s call will be archived and available in our Events section and Presentations on our corporate website for a minimum of 30 days. As a reminder, this conference call is being recorded. During the call, we will make forward-looking statements such as dialogue regarding our revenue expectations or forecast for the quarters and full fiscal year 2019 and 2020. These statements are based on our current expectations and information available as of today and are subject to a variety of risks, uncertainties and assumptions. Actual results may differ materially as a result from various risk factors that have been described in our periodic filings with the SEC. As a result, we caution you against placing undue reliance on these forward-looking statements. We assume no obligation to update any forward-looking statements as a result of new information or future events except as required by law. In addition other risks and uncertainties are more fully described in the Ideanomics public filings with the U.S. Securities and Exchange Commission, which can be reviewed at www.sec.gov. Today, April 30, 2019, the company filed its 10-Q with the SEC and afterwards issued a press release announcing the fiscal results. So participants on this call, who may not have already done so, needless to look at these documents, as we provide more of a summary of these results on the call. Today’s format of the call will be as follows. Mr. Poor, our CEO, will speak to the company’s overview and business strategy as well as the activities and developments for the first quarter 2019. Mr. Drew Colvin will speak to the company’s operating and financial results for the first quarter 2019; and Dr. Bruno Wu, our Chairman of Ideanomics, will address our investment community with his vision and strategy. I will now hand the conversation over to Mr. Alf Poor, Ideanomics’ CEO.
Alf Poor: Thank you, Tony, and thank you to everyone on the call. We will click out of the blocks in Q1 and as a result 2019 has gotten off to a good start for the company. With several significant deals concluded that service to our deal pipeline and revenue development throughout the year. Since report we have moved our focus from transformation of the business into an AI digital advisory and digital asset management business and on to the execution of the deals signed. This allows us to channel our energies out to delivering profitable growth to help meet our business objectives and to generate the increased shareholder value for the shareholder base. Q1 sort of starts with signing agreements with several major banking partners in China to support our electric bus lease financing activities. We moved quickly to secure a deal with Ningbo free trade zone to trade financing, which will begin to bear fruit later in the year. Following Ningbo, we moved on to announcing our JV with BCF, Beijing Central Finova, to provide lease financing for electric vehicle conversions, the China’s tour bus market, which is estimated to be around 800,000 buses. We then announced the acquisition of CommentsRadar from SolidOpinion to bolster our Grapevine division. CommentsRadar was in the process of integration with Grapevine and once completed we provide Grapevine’s advertisers and agencies with real-time feedback on influencer marketing campaign, something that is not available in the market today. We brought Dan Lavi, the leading Israeli Cybersecurity expert on board as an advisor. I was able to spend some time with him recently in Tel Aviv and he’s already demonstrating his value to the organization in addition to proving to be a potential source of deal flow for Ideanomics. Part of our focus on transformative industries, we announced the acquisition of 51% of Treeletrik of Malaysia in March subject to customary approvals in due diligence. I traveled with Dr. Wu Lou in March to meet the team in Kuala Lumpur shortly after the announcement and explored the opportunity we have to use Treeletrik as a way to replicate our EV bus success in China into densely populated Asian region. This was a unique opportunity that we have to move quickly on and we’ll be providing updates on this deal in the near future. After Malaysia, Bruno and I traveled to Singapore and we were able to have several significant meetings with partners there, including wrapping up the GT Dollar asset management deal [indiscernible] taken a significant amount of GTB coins as part of our deal with them to help turn this into a global leading digital token with true underlying digital assets with true underlying value. The upfront fees we collected has enabled us to record a profitable quarter for the first time. As part of that same trip, we continued into China where we first secured the deal with Hua Ya Fund to provide advisory services to them, mature portfolio companies looking to IPO in the near future. After Beijing I was joined by some additional members of our New York team as we headed on to Chengdu where we met with the outstanding team at AI Powerhouse BBD to restructure a deal with them as you saw in the press release last week. We are now marketing their offerings under the Intelligenta brand as part of the reset of that relationship. Moving away from the deal pipeline. We’re working hard on revenue development from our previously signed deals including the EV Bus which Dr. Wu will talk more about in his segment. Our Fintech Village project continues to progress with support from the state of Connecticut and the town of West Hartford as well as our other partners. We will have significant developments to report on this in the coming weeks including our first partner tenants. As mentioned on the recent call for our 2018 results, we were able to divest some of the remaining legacy assets from the old media business and these are affected in Q1 which Drew will cover shortly. Finally, I’d like to mention that we were privileged to be one of the sponsors of New York Fintech Week including hosting several panel events featuring either as guest speakers or on other panels and a very successful closing party to wrap up, what was an impressive week of technology events around New York City. This is the first in a roadmap of increased promotional activity which will include an investor road show, which has already had a soft launch in Q1 and it’s geared towards attracting institutional investors as we move towards recording healthy revenues in our fundamentals as the year progresses. I’d like to thank all of our investors, for their support of Ideanomics. We’ve met a good number of you personally in recent weeks and we are taking your feedback and comments seriously and incorporating them into our business wherever possible. We are grateful to have such an active investor base and we look forward to delivering significant shareholder value for each of you in the future. Thank you very much.
Tony Sklar: Thank you very much Alf and I will now turn the conversation over to our VP of Corporate Development Mr. Drew Colvin.
Drew Colvin: Alright. Thanks Tony. 2019 has started off well for Ideanomics as we have been able to successfully generate revenue and profitability from our new Fintech services business, primarily as a result of our digital asset management services and our recent deal with GT Dollar. Revenue for the first quarter ended March 31, 2019 was $26.9 million as compared to $185.9 million for the same period in 2018, a decrease of approximately $158.9 million or 86%. The decrease was mainly due to a change in our business focus from logistics management to digital business consulting services. Our business strategy and the primary goal for entering the crude oil and electronic trading business was to learn about the needs of buyers and sellers in these industries that rely heavily on the shipment of goods. Our activities in the crude oil trading and electronic trading business has been successful in various aspects in 2018. And for strategic reasons we have now phased out of our crude oil trading business and electronics trading business so that we can work towards enabling the application of our Fintech Ecosystem for other used cases we have identified. We intend to continue to capitalize on our efforts and learnings from the logistics management business so that we can leverage the applications of our technologies in Fintech Ecosystem across this business and as part of our industry venture strategy. Cost of revenues for first quarter was $0.257 million for the quarter ended March 31 as compared to $185.5 million for the quarter ended March 31, 2018. Our costs of revenues decreased by $185.2 million from a compatibility perspective the cost of revenues during 2018 is not necessarily indicative of the new Fintech business in 2019. The cost of revenue during 2018 was primarily associated with the logistics management business, the oil trading and electronics trading I just talked about. We’ve traditionally had a very high cost of revenue and low gross margin, while the cost of revenues during the first three months of 2019 is primarily associated with our digital asset management services as part of our Fintech Services Business. The majority of the cost associated with the development of the master plan services have already been incurred in 2018. In 2018 due to the uncertainty associated with the future economic benefits when such costs were incurred, the Company expensed those costs during 2018. Gross profit for the quarter ended March 31, 2019 was approximately $26.7 million as compared to a gross profit of $0.393 million, representing an increase of 6,689 percent during the same period in 2018. The gross profit ratio for the three months ended March 31, 2019 was 99%, well in 2018 it was 0%. The increase was mainly due to one, the company recorded service revenue from digital asset management services in the first quarter of 2019; and two, due to the low cost of revenue associated with our digital asset management services, the gross profit margin of first quarter of 2019 increased compared to the low gross profit margin of the logistics management business. The reasons for high gross margin of the digital asset management services are as follows: we’ve invested in our technical development knowledge in digital asset management since early 2018; our capitalized assets such as knowhow and expertise in our management team to develop the appropriate strategy and provide the digital asset management service which has delivered a lot of value to our clients; and finally, there are no significant incremental cost, other than immaterial labor expense associated with delivering on these services. Our selling, general and administrative expense for the first quarter was $4.2 million as compared to $3.7 million for the same period in 2018, an increase of approximately $0.5 million or 14%. The majority of the increase was due to our efforts in building out our management team in the U.S. and investing in establishing our FinTech infrastructure as part of our transformation. Professional fees for the three months ended March 31, 2019 were $1.4 million, as compared to $0.7 million for the same period in 2018, an increase of approximately $0.7 million. The increase was related to an increase in legal, valuation, audit and tax, as well as fees associated with continuing to build out our technology ecosystem and establishing strategic partnerships and M&A activity as part of this technology ecosystem. Net earnings per share for the three months ended March 31, 2019 was $0.19 per share, as compared to a loss per share for same period in 2018 of $0.05 per share. As of March 31, 2019, the company had cash of $2.0 million, total assets of $146.2 million, total liabilities of $72.3 million and total equity of $72.7 million. Over the past year Ideanomics has been able to transform its legacy business to be a prominent player for FinTech services and asset digitization through establishing a global compliant network of financial technology, user community, and digital asset production. Our team of seasoned digital strategists and technology leaders has positioned the Company towards a path of unlocking FinTech services related revenue during 2019. We have several signed customer revenue deals in our pipeline, and our product and tech teams are diligently building out these new products to continue to unlock this revenue and position the company towards a strong 2019. Thanks.
Tony Sklar: Thank you so much Tovar. I am now very excited to hand the conversation over to our Chairman, Dr. Bruno Wu.
Bruno Wu: It is great to address the investors’ community once again. As Alf and Wu have mentioned, during the first quarter of 2019, we have achieved tremendous out coming efforts to meet market demands. What I like to point out is not only we are – we know most of profit would do to digital asset management, but I want to point out that actually on all fronts starting from AI to the three parts of the advisory business, which is IPO, and equity related EV, CleanTech, UV/CleanTech and that ecosystem building on all three fronts and also on the digital asset management front, where we’re all making tremendous progress and on track to be profitable we hope all throughout the year. As you are aware, we define three core businesses, three core areas of activities for the company in Q1 that AI Group, our digital fintech advisory group and our Digital Asset Management Group. I want to focus on providing updates. They will help the investors’ community better understand the importance of these divisions and how we are making the Ideanomics’ vision a reality and delivering my promise of making this the biggest comeback story in NASDAQ. We’re working very hard towards that. First of all, I want to talk a little bit about the progresses on the CleanTech, EV front. In terms of the EV buses, both city buses and the tour buses, we have spent time building the business infrastructure to support what we believe is the most complete end-to-end value chain of how to bring CleanTech and Greentech EV into large scale public transportation systems. This has taken us some time to establish the infrastructure, as it is really multifaceted. It goes from the supply chain financing to acquire the materials to build the vehicles, for the materials to manufacture and assemble the buses to sales commission of bus units sold, the packaging and lease financing and then to ABS, asset-backed securities for issuance and also trading on capital markets. Through to the mileage packages, charging networks and other services such as electronic fare payments. We believe there’s a few, if any in the world, advisory companies like us and with our level of expertise in the EV bus space. We’re completing our value chain of this green, what we call the green finance service. So a few details, now I’m going to talk off the script, a few details in China on the bus front, we’re in the middle of finalizing directly a few deals with the top two or three leading bus makers directly, not just to gain the commission on the units sold, but also to exactly form this end-to-end A to Z value chain, it really enables, it is a totally new enabling disruptive business model that empowers all of them, even the biggest leading bus makers. So not only it enables and empowers their manufacturing divisions, it also empowers their leasing and financing divisions. So they’re very excited to work with us and very soon, hopefully they will see – you will see details in a concrete executions on how do we land those deals, how we execute those deals, how do we complete, for example, the Tianjin deal that we announced with the national transport capacity for RMB 57 billion, how do we digest it. How we turn them into real revenue other than just a contractual commitment. So this is all being very nicely put together. But the other point I want to point out is that we have also divided our internal efforts on the bus front into tour bus and city bus, city transportation bus, the mass transit buses. These are two different business scenarios with the mass transit city buses. It is more complicated. It is the – more layers and more prominence involved and less – more complicated for us to be involved with the selling itself and taking commission. Therefore, with the city bus, we stick with the ABS and decent financing business model and this is much easier. It is the sweet spot and we’ll be able to real scale. But however, with the tour bus, tour buses are very fragmented market. There are 800,000 tour buses in China that needed to be placed within the next three years. So we’re presenting about say average 1.5 million a bus or 1.2 million a bus. So this is close to $1 trillion on the market. In that market because of a deal, because of agreement with Central Finova and through Central Finova to China Travel Service and all the leading travel companies and on top of that, supplemental to that, we’re actually working very hard with all the travel agencies association, all the big scenery and travel destinations, and with all the hotel associations and a big hotels. We’re able to – we’re in the middle of trying to aggregate all the needs. It’s almost like a group. It’s like a collective purchase of a tour buses. As a result, we’ve been able to negotiate the price with the tour bus manufacturers that represent about 40% plus discount to normal price they’re being selling. So it’s collective buying and collective marketing power and at one finance consortium, one consortium of finance and leasing companies. So tour buses, we intend to become the biggest player in the tour buses. Not only our ABS and the leasing financing that we take 1% to 2% commission, but we like to take a growth of 30%, a net of 10% to 15%, hopefully 15% on our tour bus sales. And again, I’ll target at China has 800,000 tour buses that needed to look – replace that next suite four, five years, but mostly in the next three years. We like to concentrate on doing, on selling 200,000 buses, tour buses in next three years and taking a 15% commission, which will probably if that has done, it will present between $250 billion, $250 billion plus, $240 billion, $250 billion plus and the 15% commission along with our integrated EV services from ABS financing to fractionalized ABS units, trading on the national tourism asset trading exchange. All that will give us a very nice the tenants away, we’re very – we’re taking a very strong position on that, really rounding up that tool bus market. So on top of the tour bus a new opportunities have come along because our entire end-to-end solution is so innovative and it’s a win-win, win-win for all parties involved. Recently we have been approached by the taxi companies. So the massive taxi companies in China and trying to work with us on the same model, because this model touches the sweet spots of a lot of people. So we’re just starting getting into the eTaxi market as well. So this is the China strategy. So in Malaysia and ASEAN, which else touched upon, I think the main focus of effort is if you take advantage of the overcapacity of Chinese manufacturing at a Chinese technical advantages in buses, in EV buses especially vehicles and trucks and bring it to the world’s fastest growing regions, which is the ASEAN countries, the Southeast Asian countries. So our strategy is to bring the top two or three Chinese bus makers and to set up their assembly plants in Malaysia. We’re in the middle of doing that right now and hopefully, you’ll see announcement pretty quickly. We are also working with the Malaysian police and the Malaysian government on POC proof of concept of supplying cost effective, good cost benefit model, passenger vehicles for their government vehicles and police vehicles as well as eBikes, eBikes for police use. So therefore, we’re actually moving, not just the buses, we’re moving the assembly plants of passenger costs and eBikes into Malaysia. The eBikes have already started producing, we’re already selling eBikes. This is very also very interesting special situation ASEAN countries is for eTrucks, for e-pickup trucks. ASEAN countries, whether it’s a Bangkok, whether it’s a Kuala Lumpur, Singapore, Manila, Jakarta, so on and so forth. They are plenty of food stand cars. This is one of the main revenue streams and the way the people get food and beverages. So in Malaysia, we’re working with the government to really standardize all of them or the food stand trucks by conversion of our e-pickup trucks, they will not bring to Malaysia. And this is multiple hundred thousands through – in a unit. We’re also – as you know we own – we already paid for and own paid 100% no debt, one square kilometers of a land our industrial park in Malaysia, by the Port of Guangdong, so we’re building out through bringing in the biggest Chinese bus makers, the car makers, the EV bikes and EV and e-trucks. We’re making biggest assembly plant, biggest assembly base in Thai, Asian. As you know, there’s no tariff amount Asian countries, so we’ll be able really export and be able to scale up into the other massive markets such as Vietnamese market, Indonesia market, Philippine market beyond Malaysia market itself. So – and so much for the EV front, one last thing is, I think there’s a tremendous opportunity for us to bring EV bus and EV truck into the United States market, because several governors and state government talk us about that is the desire of the placing public busses with EV buses. And we saw Tesla announcing bringing e-pickup truck, e-trucks, but we actually already have a very mature e-truck model coming from China, they were not bringing to the United States. I think the heavy trucks, the heavy low truck and also pickup trucks, both with a very good in the United States market with a leasing financing support. Next I’d like to move on to the other division of our advisory service, which is equity based IPO and M&A advisory market. Our innovation catalysts programming hops that we establishing all forming key partnership with, allows us to get access to the fast maturing technology companies had already five key global innovation centers. So my holding companies in Seven Stars invest in shareholdings in the PE funds and owning part of these global innovation centers. Ideanomics owns our planned Fintech campus in West Hartford, Connecticut. We expect the number of a catalyst programming hops to be shortly reaches – reaching seven and then on to as many as 11 to 12 by the end of this year. And total in companies with relatively mature technologies in later companies that are ready for IPO or pre-IPO with that number approach and the 1000 by end of this year. So these global innovation centers will foster pipeline of technology excellence, where advice many of these companies and as a system in scaling up these technologies to the point of IPO. But digital security offering and debt issuance Ideanomics signed an exclusive deal Hua Ya Fund of China, leading VC and PE fund that operates in four hi-tech parks in China. And we have three other deals that are coming. Beyond China, we also expanding, we plan to expanding to other high growth Asian countries, such as Vietnam, Singapore and Malaysia. And our target is, we would like to – through the six partnerships that we have formed to IPO and M&A or execute sell event – sales event of at least a 20 of those companies per annum and making a very nice fee out of this and we have a total pipeline of 1,000 companies already, seven assume to be – seven digital hubs. And next is, I will like to also to talk about our debt in the fixed income global ecosystem. Now our plan is to build a global asset-backed debt exchange ecosystem to take advantage of the very rich assets available in the regions of the world, which are currently underserved by the established debt market. For example, Asia has a average of 4% debt market of the total capital raised versus 75% in the United States. China, if you take out the interbank loans, it’s nearly 2%, so a lot of room to grow. So we are as a company leveraging the competitive advantage, footprint in the global markets, namely Greater China and other Asian countries. We’re hope to facilitate capital flow through A, deal origination with a focus on asset-back securities such as real estate, transportation assets, government bonds and consumption insurance assets. B, AI backed risk management and benchmark in core fixed income offerings. C, issuers, custody tradings or investment in ATS, alternative trading services and exchanges such as DBOT, Delaware Board of Trade and others. D, market leading sales and mandating. We aim to make Ideanomics to become the world leading ABS asset-backed securitization powerhouse and to help to shape the future of digital securities. To realize that vision, we are expanding our ownership in Delaware Board of Trade, DBOT and creating an end to end value chain of services, including the origination, sales distribution and trading of fixed income products. We envision a totally compliant ecosystem of regulated exchanges, which will facilitate the trading of debt securities with an initial focus on Asia, eventually to other regional markets. Our business model combines those Blackstone, BlackRock and Vanguard at pimp, powered by artificial intelligence platform, Intelligenta. When properly structured substantial revenue opportunities can be allowed in debt issuance and trading ABS, Grief, CMBS, et cetera. Asia has a huge pool of assets. The liquidity of investments, market potential is significant in Asia is to mirror Europe and North America in asset-backed issuance. With the product roadmap that we have built and the deals that we have captured to support the products, I am confident that our revenue expectation will be on track for Q2 and for the full year of 2019. Not just one sector or one division, but across the board over all three divisions, which is AI, advisory and also asset management. Thank you.
Tony Sklar: Thank you so much Dr. Wu. It is such a pleasure to have you speak about strategy and the forward momentum of Ideanomics, it’s truly amazing. This concludes management’s prepared remarks and I will now turn the discussion back over to our CEO, Mr. Al Poor, who will be moderating our Q&A session. And operator, I think if we could get some instructions for our listeners, that would be fantastic.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question is from Jim Mitchell, Private Investor.
Jim Mitchell: Good morning, gentlemen. My question revolves around the press release this morning and the reported revenue, which was shown to be $26.9 million. Can you explain the difference between this number and the $170 million that was received as upfront payment from the GT Dollar and it was confirmed by management as a first quarter event in the last conference call, additionally, on that thing, anything regarding the $30 million of legacy business sales. Can you provide clarity on where these revenues and how these assets are being recorded?
Al Poor: Yes, absolutely. Thank you, Jim for the question. We did take any the upfront payments from the GT Dollar deal as we previously described and decision, with our tax advisors as all of the services had not yet being delivered. They ask us to record the money that took previously with that any of discount because it is technically a virtual currency. And secondly, also we divided the amounts between what services have already been delivered, which recorded the Q1 as of discount and those would be delivered in Q2 because we have till June 30 to deliver all the initial services.
Operator: Mr. Mitchell.
Jim Mitchell: Thank you. As a follow-up to that, with the tokens in hand, what’s the company’s plan to be able to convert these tokens to either fiats or is there different plans to be able to utilize these tokens directly to purchase new assets?
Al Poor: Yes, we’ve already began doing that. Obviously, what we don’t want to do is, we don’t want to flood the market with those tokens at this time, because we have the potential to crash the value of the funds. So we do have to be careful with that. We’ve already began and we do daily transactions where we’re exchanging the tokens for other high liquidity coins such as Bitcoin and Ethereum. And currently, I think we’ve trading something close to $5 million with roughly a 75%, 25% split between BTC and ETH. Focusing those are valuable for us to convert into fiat as of when we choose to be at the moment there’s a marginal rise in Bitcoin on the day-to-day basis. So there is a – with just sitting on those ready for the value to give us a better understanding where it’s moving and then we’ll able to make the decision on public fiat out.
Jim Mitchell: Okay. Thank you. Can I follow up with one more question? There appears to be some very low institutional ownership with the company today. What’s management doing to convince Wall Street of the magnitude of all the deals that have been discussed today and in the past in order to provide the current investor community and future shareholders value on their investments?
Al Poor: Yes, we’ve been very active starting at the beginning of this year. As soon as we finished out the transformation of the business, which was effective and there was some bleed over into 2019, but effectively most of the heavy lifting was done in 2018. We then began to start socializing, both Ideanomics and its decision with the institutional investors. Some large buy side firms have traveled to Beijing and met with Dr. Wu in the last month. I’ve met a number of them here in New York and also traveled to London last week. I met some of the European based fund managers. And discussions, we’re having with them are interesting. How it works with institutional investors, they get – any kind of heavy buy and they’re going to want us to discount or upsell for themselves. So we started those discussions. That primary interest is, when we start to see the revenues fall onto our balance sheet from some of the electric vehicle deals, which is obviously going to be happening in the very near future. So we feel confident as the investor community on the [indiscernible] in the coming months. We deliberately haven’t asked any of them to place investments at this time. We are still putting our chess pieces in place. But so far we – particularly with the interest in the ABS and the type of cash that we’re going to generate from those deals based out of Asia, there’s been some significant interest on the buy side.
Bruno Wu: Well, Jim, if I may add to that, this is Bruno. Okay. We are – we have set out a multiple engine growth to really bring – to bring revenue, very strong revenue into the company, against a relatively very modest cost basis. Now, let me address the cost basis first. And then you saw the cost for both personnel and cost for the professional fees went up for Q1. And this will be seriously readjusted for the quarters to come, because the fact that we had a management change when I was not with the company for more than four months – four, five months. The cost went up, particularly, the professional fee; the control was not perfectly in place. So going forward with Alf and his very competent team and we’re going to do some readjustments over the cost and over the team associated with that to get a company to an optimal fighting mode and fighting shape. So, the costs going forward will be very nicely positioned. It will be very modest and very minimal against the revenue potentials. So, we intend to drive a very high margin business. Now, on the revenue front there, multiple engines, but we divide them into the immediate cash revenues and immediately, and also now non-cash, but cash equivalent revenues. So, cash revenue is easy. We will be starting to drive major cash revenues from the EV side of the business, actually pretty huge. And it takes us a little bit time to put infrastructure in place, but once we do, it becomes recurring and it becomes a pipeline by yourself. We intend also to drive that cash revenue from AI and from part of our equity advisory business and as well as a debt advisory business. again, debt would take probably two or three quarters for this to stop producing revenue. But once it does, it will also be very strong recurring and very scalable revenue coming in. So that’s the cash side of it that we’re working very hard to do it on the cash revenue as our income and revenue engines. But on the non-cash side of it, we have mainly two. One is the digital asset and the tokens, as you talked about, we’ve been able to convert them into – in a managed way into cash equivalents, which are Ethereums and bitcoins, but we have covered into fiat money for the reason that Alf just talked about. And at the same time, we have taken a very, very deep discount over the value of those tokens that’s how we book, probably 80% off the current trading value in anticipation for the future fluctuation. Then also we want to be very, very, very conservative over the value of our assets. We have also not – we’re also looking for the best moment to convert our assets into real money and other cash equivalents. of that’s on the digital asset fund. But one very important thing is, we do believe in the value of GTB, particularly after we evolved with it, because GTB is working. it is the only cockering the world that’s really associating all its activities with underlying assets, with a fixed income or real life, real economy type of assets. But mainly backing itself up with the fixing income products, which is what we like. and it will help it with it. The other non-cash revenue would be part of the fee that we receive from the feature IPOs and the transactions we’d receive in marketable securities, which again, will have to be turning to cash. So, so for those, both cash and non-cash base, we have multiple engines and three big funds, which is AI, advisory and the asset management. So, we’re driving them all within this year, I mean, some parts, some of these engines move faster than the others, but I think by Q3 of this year, most of these engines, I wouldn’t say all, but most of these engines were their parts, each engine has multiple parts. We’ll be cranking – we’ll be running. So, by the end of tour in 2019, we are [Technical Difficulty] Ideanomics into a total AI-driven financial services, and the management company that’s serving as a catalyst to transformative industries that are – that would produce high margins that is what I – what I’d like to add.
Jim Mitchell: Thank you.
Operator: Our next question from Susan Morrow, investor.
Susan Morrow: Hi. Good morning gentlemen. I was wondering if you could provide an update on bond sales. Is that still in play? And if so, what percentage has been sold and also will there be guidance for the company moving forward?
Alf Poor: Yes. Thank you. So, in terms of the bond sales, the asset package, are you talking about the electrical bus deals, I assume?
Susan Morrow: Yes.
Alf Poor: Yes. So, the asset packages are just being delivered now for the underwriters, but none of them have made it to market at the time. They will do very soon. In discussions with our council and our auditors and others, we don’t see if it’s going to be prudent to give any guidance until we start seeing that cash on the balance sheet from those revenues. At that time, obviously, once we know that we’re underway with the debt issuance programs, then we will give guidance. But until then I think we need to – we need to start see some of the cash on the balance sheet first. I think without any trading revenues, it would be foolhardy to give guidance otherwise.
Susan Morrow: Okay. Can you talk a little bit about the bond sales and what hurdles you’re experiencing getting those going I expect it was under the impression that those were already well under way?
Alf Poor: No. They are underway. It’s quite simply a case of the buses need to be ready for the manufacturing level for delivery. So, the underwriters can assign them to the asset packages, finishing their underwriting and you have the banks packaged them up and take them to market. So that’s where the – that’s what the delay is, just the buses being ready and available. I understand that’s happening on a day-to-day basis. So, we’re very close to bringing those – bringing those to market and realizing the revenue.
Bruno Wu: So Susan, first of all, if I’m going to add – this is Bruno. Our deals are very large deals. Our deals is – what we’d say in Chinese, general to general deals, it’s a top-to-top deals for their i.e. lump sum deals. For example, when we do a deal for 57 billion buses, it is a framework deal. And then you’d have to actually execute each fleet, sub fleet that’s been delivered. Okay? Now, this is a very complicated process, because some on the fleet, they’re not all 57 billion buses or they are some bigger buses, some smaller buses, and they’re being delivered probably we manage actually probably about four or five different manufacturers. So, even within every manufacturers, the buses are being delivered in self fleets. So in other words, 1000 at a time, 500 at a time, what have you? Now, because each bus cost, because the normal sale price was between RMB 2.2 million, RMB 2.3 million, RMB 2.4 million to RMB 3 million, we are able to get a price down to as close to RMB 1.2 million as possible. It’s a very sharp discount. So it’s a little bit, I’ll say negotiation, now it’s done and it’s a little bit of a – because even these bus companies – these EV bus companies, they did not – it’s new to them, because the government are mandate, it’s a new to them to have such large quantity. So, now it is – you don’t worry about the orders. They worry about having cash flow to actually buy materials to actually manufacture them. So that’s why we have to execute the full services, starting from supply chain financing, helping them to finance to buy material which we make up the, some needs more help than the others. Some of these companies, more cash rich and they have more financing facilities in place, the others are not. So across the board that we have to be ready to step in and to help them. Then you manufacture the car and then you deliver the fleet. We delivered the fleet, again, you organize leasing financing, but usually all these automakers are coming with their own leasing financing arm. But after leasing financing is done. It’s only after leasing financing is done, then your asset package is finalized. Then when we kick in to work with CICC these biggest bankers of China to execute the ABS, executed agent. Then when the ABS has done, the ABS can be fractionalized and it gets traded and issued and be traded on the exchanges. So along this value chain, we can make money every step of the way, but as you see, we’ll make commission on the tour buses, sooner than we do with the city buses. That the city buses, our money only comes in when the ABS gets done. If after leasing financing, so it’s a step three, four of the way. So everything’s moving with lightning speed. But that will come in and once they come in, it will keep on coming in. That’s on a city bus. On the tour bus, as I said in the call Susan is that, we are now, we’ve negotiated a price. We are signing up directly two or three leading bus makers and we’re longing up, the biggest travel agencies, the biggest tour bus operators, with who are fragmented. So where – doing a group I work with them and it’s being done as we speak, because Central Finola, at least we, we’ve got in the CTS, which is the world’s biggest travel service already on our sides so through Central Finola. So this will also happen pretty quickly. So in other words, for the bus revenue, in summary, the ABS on the city transportation bus would come later because as a step three or four in the whole value chain. But tour bus will probably happen even sooner, because tour bus us is a step two, because after you raise the money for manufacturing and supply chain finance, then it’s a tour bus sales, and you know, through leasing financing, and then we take a commission. So all in a tour bus and city bus, we’re all likely to be delivering solid results, we hope in Q3. But definitely this year.
Susan Morrow: Thank you.
Operator: Our next question is from [indiscernible] Investor.
Unidentified Analyst: Can you hear me okay?
Bruno Wu: Yes.
Unidentified Analyst: Yes. My question is, I’ve run the numbers with the outstanding shares that you guys currently have. What is your insight, ownership and far as percentages? Because I received my calculation, 58.07%.
Federico Tovar: I don’t have the numbers in front of me as we speak. I’m sitting in a lot of conferences in market itself. Hope you’re well. I would say that’s pretty close suits around the 60% level.
Unidentified Analyst: Okay. So it’s higher than what I have. And then I had a follow-up question. And as regarding the tokens, is there any way, I know there’s a lack of liquidity, but can manage to sell all their tokens upon receiving it, as soon as possible?
Bruno Wu: Technically we can, we’re, Charles was part of the agreement with looking after that from. If you push that kind of liquidation onto the market to convert into theater, into other coins, you’re going to have a detrimental effect on the funds and therefore it’s counterintuitive to, why you’re working with GT dollar, right. So I think for us, we taken by the steps, we only took the receipt of the some deals in 14th of March which was about six weeks ago. We took the receipt of the coins towards the end of month, had to get our wallet set up, had to work with our cyber security team and everything when we take in that kind of level of stuff and make sure everything’s secured. So there were a few things we had to get in place where we can take then receipt of the coin. And then since then we’ve been very careful with the way that we can exchange them. So as I mentioned earlier, we’ve exchanged about 5 million so far in the BTC and ETH roughly 75:25 inside the BTC because it has larger value in greater liquidity. Technically we could take those cash with us now. We could do more, but obviously in the early days, which you don’t want to do, which we don’t want to cause a negative impact on the sum. So we’ve already seen in subject, as bitcoin started going up you saw little bit of leveling off in the value of the CTT as it was as people move their currency from GTD into BTC because that jump that happens with the bitcoin in the last month. So we just need to be a little bit careful, it’s very early days for us taking those, but when the time us appropriate we will convert them if we have.
Unidentified Analyst: Okay. I also had this question from a few industries that I know, when can we expect a guidance whether it’s yearly or…
Federico Tovar: Yes, I think I just expressed with the previous slide you just spoken Bruno gave more detailed answer is, as soon as we see some of these significant revenues from some of these different revenue engines that we have, stopped coming to our balance sheet, then I think we’re in a position to give the guidance. I don’t think any company will give guidance on future revenue alone. So I think what we need to do is we need to stop seeing it hit our fundamentals and then as we’ve got some trading revenues behind us quote themselves, so I think we can confidently go to the market at that point, that what the rest of the year will look like.
Unidentified Analyst: Okay. I just had one more last question if I may.
Federico Tovar: Go.
Unidentified Analyst: Regarding the hopes that are available, there was a jump between, I think it was 11.67 something like this million shares and it jumped into the 60’s, can you guys maybe elaborate on this?
Federico Tovar: Can you repeat the start of the question?
Unidentified Analyst: In summary, the shares that are in the flow. I don’t have anything accurate and where to look?
Federico Tovar: Okay. So in terms of the flow you are talking about, maybe we put some shares to – for the Malaysia deal that we’re working on, so maybe that’s what you were siding to?
Unidentified Analyst: Not the shares, on the outstanding shares. How many of that would be in the float available for trading?
Federico Tovar: On the float? Tony would be a better person for that.
Tony Sklar: Absolutely, for sure, hi, how are you? The floating is approximately, that’s awesome – it is approximately 40 million shares.
Unidentified Analyst: Okay. That’s it, thank you guys.
Operator: Our next question is from Dan Potter, Investor.
Dan Potter: Hi. I just have a couple of quick follow up questions regarding GT dollar deal. So with the 170 million, what you mentioned there’s approximately an 80% discount and that’s kind of be split up over Q1 and Q2, can you provide any color as to what we should expect to see in Q2 from that and then as well, during the last call that was mentioned that Dr. Wu was able to restructure the annual payment into a monthly payment. And can you provide any information on when those payments will be in and if the same approximately 80% discount will apply to that as well?
Federico Tovar: Yes. At the moment, obviously we’ve looked at a discount range at 75% to 80%, because we thought that was an aggressive position to take, given that it’s a Cryptocurrency. Obviously we get the benefit as we start to bring those tokens and convert them into to other currencies that we need to feed we get the positive balance on our balance sheet if it toes at discount level. So we thought it was prudent to do it that way. We don’t have a set timeline on the – 50% of the – 25% per month. We have to finish delivering the initial services for what we took the 170 million in [indiscernible] June 30, to do that. And then the timeline to be reasonably agreed between both of us in terms of the strategic plan we’ve got on the table for how and when we began collecting those other fee.
Dan Potter: Okay. I’ll just ask one more. Nope, go ahead.
Tony Sklar: Okay. If I may add to that, as I said, we’re now faced with a very big problem. But it is a good problem to have, which is – this company historically has never made money. It has a featured intermediate loss that will be able to probably clear this, wipe out all the historical loss, within this quarter and next quarter. But so now we have this quarter – I mean, sorry, last quarter and this quarter. So we have until the end of this quarter to figure out as the company is a Nevada company and how we are going to deal with such a large profit that we never anticipated before that’s now coming in. So again, these profits are divided into cash and non-cash. Now cash profit will be able to – because the jurisdiction lauded EVs of all origin, it’s Malaysia, Singapore and China and the tax duties with United States, we’ll be able to get tax credits and we’ll be able to deal with that probably, relatively easier because it’s cash-based. But if it’s token, shares of other public listed companies that are non-cash at the moment, but they can be converted into cash and cash equivalents, we have to be more careful, we have to plan this better because of the fact that at the moment, if you drive that revenue very high, if you book it, then it’s in instant tax implications. So we are in the middle of trying to plan that and structure that in a way that would protect the company better, because we don’t want to be in a situation that we have a mega-profit and it’s – and with the non-cash part and we are – we would incur immediate tax payments. So therefore, these are the tax planning steps there, there we’re also taking before all these major revenues and everything hit. So we’re trying to streamline all the company structure, all the compliances to make sure that this is a plan out in the compliant and correct way. So that’s part of the stuff that’s going on right now. So yes, we’re probably not going to give you a guidance within a short period of time because the – depending on the outcome of the tax planning that could be a variation over the numbers. But however, we do have a very clear, much more clear than we ever had before understanding over what the numbers are going to look like. But we like to keep this mostly as an internal management targets and we like to do whatever we could to maximize shareholder value and also to minimize company exposure. And that’s where we’re at right now.
Alf Poor: Yeah. Thank you, Bruno. I mean to put it in a nutshell for those still on the call, very simply, if we have not discounted with taken everything up front, we couldn’t do that because we haven’t delivered all the services under the initial kind of services to be delivered. But if we’d have done that, we would have needed to have sold a substantial portion into fee at to pay the tax liability this quarter, okay. The size of which would not have gone down well with offensive GT Dollar for the size of their funds, we would have liquidated very large position to better tax liability. And we may have caused volatility in their fund. So that’s where our council and our tax advisors coming in very handy as Bruno said, because they allow us to make the right decisions so that we have long-term strength from that capital and we don’t just take it in from one hand and then pass it off to the other.
Dan Potter: Yes. In other words, we’ve taken say 80% discount. But when we actually traded this into EPC and BPC, the big points of the world, they can be provided the fiat money, there is no – I mean, we trade this as a marketplace, but we actually take an 80% discount. So that leaves us with a very good protection and of course, we’re being pretty conservative on that.
Operator: Thank you. We have reached the end of the question-and-answer session. And I will now turn the call back to Tony Sklar for closing remarks.
Tony Sklar: Thank you very much, operator. This is all the time we have for today and this concludes the Ideanomics first quarter 2019 Investor earnings conference call. We encourage our community to continue to reach out to us and we can answer any questions that you may have individually. Please send those questions to ir@ideanomics.com. We’d like to thank all of our listeners, shareholders, analysts and others who may taking the time to listen to our earnings call and we urge you to refer to our latest SEC filings for any information that you need. This call will be available from our website and in our investors section, you will find that link there. To be alerted, news, events and other information in a timely manner, we recommend that you follow us on our social media channels and sign-up for our newsletter and please don’t forget to explore our website at www.ideanomics.com. Thank you everyone for participating and listening to this call today.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.